Operator: Good morning, and welcome to Alliant Energy's Conference Call for Fourth Quarter and Year End 2022 Results. This call is being recorded for rebroadcast. [Operator Instructions] I would now like to turn the call over to your host, Susan Gille, Investor Relations Manager at Alliant Energy.
Susan Gille: Good morning. I'd like to thank all of you on the call and the webcast for joining us today. We appreciate your participation. Joining me on this call are John Larsen, Chair, President, and CEO and Robert Durian, Executive Vice President and CFO. Following prepared remarks by John and Robert, we will have time to take questions from the investment community. We issued a news release last night announcing Alliant Energy's fourth quarter and year-end 2022 financial results and affirmed our 2023 earnings guidance. This release as well as an earnings presentation will -- which will be referenced during today's call are available on the Investor page of our website at www.alliantenergy.com. Before we begin, I need to remind you the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy's press release issued last night and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. In addition, this presentation contains references to non-GAAP financial measures. The reconciliation between non-GAAP and GAAP measures are provided in the earnings release which is available on our website. At this point, I'll turn the call over to John.
John Larsen: Thank you, Susan. Hello, everyone, and thank you for joining us. 2022 was another successful year of solid operations and financial performance. This was our 13th straight year of delivering results in our 5% to 7% adjusted EPS growth range and the 20th year, two decades straight, of consecutive dividend increases. We had one of our best reliability years on record with top-tier performance. Our wind generation produced the most wind energy in our history, providing approximately $160 million of fuel cost savings for our customers. We continued our progress towards net zero, decreasing carbon dioxide by nearly 40% off of 2005 levels, and we kept up 2022 with very strong economic development in both Iowa and Wisconsin with over 100 megawatts of announced load that will bring new jobs and new investments. As I reflect on the past year, what makes me most proud of Alliant Energy is the continued dedication and service from our employees. As they strengthen our connection with the customers and communities we proudly serve. In 2023, we will be celebrating Alliant Energy's 25th year. I'm proud to be part of Alliant Energy. I'm proud of our team, and I'm inspired by our purpose to serve customers and build stronger communities. Our employees focus on this purpose has enabled us to once again, deliver the results you have come to expect from Alliant Energy. Our purpose continues to be the source of our strength and guides us through the ever-changing dynamics, within our economy and our industry. I'll highlight a few areas of progress and then turn it over to Robert to recap financial results and provide an update on regulatory proceedings. In 2022, we continue to execute on our Clean Energy Blueprint by adding renewables in the states where our customers live, which allows us to invest in the communities we served and add skilled union jobs and local revenues. This is another example of how our purpose is at the center of our strategy. We added 250 megawatts of solar at our Bear Creek, North Rock and Wood County Wisconsin sites, positioning us as the largest owner-operator of solar generation in Wisconsin. We are on track to bring into service an additional 850 megawatts of utility-scale solar, by the first half of 2024 in Wisconsin. We continue to progress our Clean Energy Blueprint in Iowa, advancing renewables and our efforts to place electric lines underground, improving the reliability of our system. And while we are not yet at the conclusion of the advanced ratemaking process in Iowa for our solar and storage projects, we continue to follow the well-defined steps within the regulatory and procedural process to demonstrate that these projects are cost-effective and reasonable. We remain confident these projects are in the best interest of our customers and will supply the energy, reliability and resilience, that our customers depend on. Another great success story is the advancement of solar gardens. We are building one near Cedar Rapids, Iowa with Transamerica and Aegon as our main customers. And we're partnering with Mercury Marine in Wisconsin to build a similar solar facility. These projects help advance the sustainability objectives of our customers. And we also use these local investments to advance our focus on the social part of ESG, providing some of the solar energy to partners like Habitat for Humanity. This continued focus on economic development and our customers were contributing factors, in being named a top utility in economic development by Site Selection magazine, for the fourth year in a row. And I'm proud to say that this work also contributed to the recently being awarded the Chairman's Award for Workforce Development leadership, which is the center for energy workforce development's highest honor. While we were proud to receive many recognitions this past year for the work that we do in our communities, the recognition I'm most proud of, focuses on our employee experience. For the fifth year in a row, we were named by the Human Rights Campaign Foundation, as the best place to work. And for the fifth year in a row to Forbes list of America's best midsized employers. And speaking with many of you, one of the things I'm reminded of is our strong core investment thesis. That is why you choose to invest in our company. Simply put, we delivered consistent results. Our well-executed forward-thinking and flexible strategy, coupled with constructive regulatory jurisdictions, has been a major part of our success. We not only deliver near-term results, but continue to take steps to help reduce future risks and provide the stability investors have come to expect from our company. A well-executed strategy has positioned us as a leader on the path to a clean, reliable and affordable energy future. We are well positioned to quickly adapt to a dynamic economic environment and weather challenges, while delivering on investor and customer expectations. 2022 was a clear example of this. Our efforts to move lines underground, continue the advancement of solar projects and strong operations in the face of weather events. While delivering solid results for our investors and reliable service for our customers, underscores the flexibility of our strategy and the dedication of the team, I am privileged to lead. And speaking of dedication, I want to pass on my appreciation to our employees that have worked through difficult conditions in the recent weather event to safely restore our power to our customers. As we move forward in 2023, you can have confidence that we will continue to take the required action that is needed to meet our customers' needs. We thank each one of you for continuing to be engaged in our journey and we look forward to connecting with you throughout 2023. At this time, I will now turn the call over to Robert.
Robert Durian: Thanks, John. Good morning, everyone. Yesterday, we announced 2022 GAAP earnings of $2.73 per share compared to $2.63 per share in 2021. On an adjusted basis, which excluded the impacts of temperatures and non-recurring adjustments, our earnings per share increased 6% from 2021. Looking year-over-year, the increase in 2022 was driven by higher earnings from capital investments at our Wisconsin utility and higher electric and gas margins. These favorable drivers were partially offset by higher financing and depreciation expenses. Our diverse retail customer base supported the higher electric and gas margins in 2022. Residential temperature-normalized electric sales increased by almost 1%, largely due to strong customer growth. We also saw higher-than-expected sales from commercial customers with continued recovery from COVID for several business sectors in our service territory. These were offset by lower industrial sales, primarily due to temporary plant shutdowns at some of our larger customers. In 2022, we also saw a better than expected temperature-normalized natural gas sales enabled by solid customer growth. The 2022 results we are sharing today are result of our consistent efforts to manage through and mitigate ongoing inflationary pressures. We're extremely proud that we kept 2022 utility operating expenses in line with 2021 and we were able to manage through and offset the negative impacts on earnings from rising interest and fuel costs. Our work in 2022 accelerated strategic initiatives that will set us up for many years to come. We invested in economic development and electrification that will enable future sales growth. We updated our resource planning to maximize Inflation Reduction Act benefits, and meet the new MISO seasonal reliability requirements. And we accelerated technology and automation investments to improve efficiency. As we look to 2023, we anticipate operating and maintenance expenses will be lower than 2022, continuing our trend of flat to declining O&M to enable cost savings for our customers. We recorded a few nonrecurring adjustments in 2022. These included $0.03 per share related to the Iowa state income tax rate change, $0.02 per share related to retirement plan settlement losses, at the end of 2022 and $0.02 per share related to a reserve adjustment for American Transmission Companies base ROE changes. Turning to 2023. We are positioned for another year of consistent 5% to 7% earnings per share growth. We are affirming our 2023 earnings guidance range with a midpoint of $2.89 per share, representing a 6% increase over 2022 adjusted earnings. Our 2023 earnings drivers include earnings on customer investments in our core utility business, and our continued efforts to reduce cost to increase customer value. Higher depreciation and financing expenses associated with these investments will partially offset these positive drivers. Our efforts to support customer value through making smart investments in our future support our ability to consistently deliver strong financial results. Other key assumptions for 2023 include growing sales by approximately 0.5% of 1%, led by higher sales to our commercial and industrial customers. And we estimate a consolidated effective tax rate of 1%, with substantial production tax credits generated by our large wind portfolio and growing solar portfolio, helping us maintain low effective tax rates for the upcoming year and several more years to come. The benefits from these production tax credits are passed on to our electric customers to help them manage their bills and therefore, are largely earnings neutral. Our financing plans for 2023 include a mix of new debt supplemented with modest new common equity to finance our investments in renewable projects and to support refinancing a $400 million debt maturity in 2023. In December, we launched an At The Market or ATM program as our intended approach for raising up to $225 million of new common equity throughout 2023, which is in addition to the $25 million of common equity that we expect to raise under our DRIP finance. And in January, we entered into an interest rate swap to help reduce the risk of rising interest rates related to a portion of our variable-rate debt. The 2023 financing plan is driven by robust capital expenditure plans and supports our objective to maintain the capital structures at our two utilities consistent with our most recent regulatory decisions. Next, I'll highlight this year's key regulatory initiatives. Last month, we provided additional testimony and evidence to the Iowa Utilities Board and IPL's advanced remaking proceeding. This testimony and evidence further demonstrates that IPL is taking prudent actions to meet its customers' need for capacity by advancing Iowa-based solar and storage projects that represent cost-effective solutions compared to alternative options available in the market. We also informed the IUB that we have identified our self-developed Creston and Wever projects as the second 200 megawatts of solar products, in addition to the 200 megawatts build transfer solar projects at the Duane Arnold site. To date, we've provided all the information requested by the IUB demonstrating that these projects are in the best interest of our customers. The IUB's decision this week to pause the advanced rate making process is procedural. We are working through both the regulatory and judicial processes in parallel, and following the well-defined process to move these projects forward. Next, we expect the IUB to file a response with the District Court in early March. We are confident these projects will provide considerable customer benefits, including reliability and resiliency and remain committed to executing these projects while we await the IUB's final rule. In Wisconsin, we are awaiting a decision from the PSCW on WEC Energy's purchase of a portion of our West Riverside natural gas generating facility. We are also anticipating decisions from the PSCW in 2023 on WPL's request for 274 megawatts of battery storage. 175 megawatts of these battery projects would complement 2 of WPL solar projects and 99 megawatts of the battery projects will be located by our Edgewater Generating Station to take advantage of the existing infrastructure and transmission rights at that location. Finally, we plan on filing a normal biennial electric and gas rate review in Wisconsin for test years 2024 and 2025 in the second quarter. In both states, we are also anticipating making filings to support additional resources for growing dispatchable generation capacity, needed to improve seasonal reliability and meet customer energy needs. As always, we continue to move forward proposing energy investments that support both sustainability and resiliency, keeping our customers' needs top of mind. I will conclude with a recap of the prominent legislation enacted this past year that has set us up for a solid future financial success, while providing significant customer cost benefits. Alliant Energy is a strong beneficiary of the Inflation Reduction Act. As it directly supports our strategic plans to advance cleaner energy for our customers, while providing significant customer and investor benefits. The IRA enables additional rate base opportunities while also lowering customer costs with a shift from tax equity to full ownership for our planned solar and battery projects. In our November 2022 refreshed capital expenditure plan, we incorporated the benefits of the IRA along with the changes from the MISO seasonal construct, which provides visibility to our planned 8% rate base growth through 2026. Another key element of the IRA improves our cash flows, through the ability to transfer renewable tax credits starting with those generated in 2023. With a large portion of wind and solar projects, we anticipate that we'll be able to transfer up to approximately $150 million of 2023 tax credits. As we continue to add more solar and battery projects over the next few years, the amount of annual transferable credits will continue to grow. We expect this to positively impact our credit metrics through acceleration of cash and reduction in future external financing needs and to lower our customer costs by reducing sharing costs on tax credit carryforwards. The IRA will provide significant benefits for our customers and investors with no notable downsides as we expect to remain exempt from the alternative minimum tax for the foreseeable future. And finally, we also expect to benefit from new state tax legislation enacted in Iowa in 2022, which is lowering state corporate tax rates, enabling us to pass millions of dollars of annual savings onto our customers in Iowa for decades into the future. We appreciate your continued support of our company and look forward to meeting with many of you in the coming months. At this time, I'll turn the call back over to the operator to facilitate the question-and-answer session.
Operator: Thank you, Mr. Durian. At this time, the company will open the call to questions from members of the investment community. [Operator Instructions] Your first question comes from the line of Shar Pourreza from Guggenheim Partners. Please go ahead.
Shahriar Pourreza: Hey. Good morning, guys.
John Larsen: Good morning, Shar.
Shahriar Pourreza: Good morning. So, just two quick ones here. I guess the first one is, as we kind of look at -- look ahead to the rate case filing in Wisconsin, you guys built up a substantial fuel deferral last year at WPL. How should we be thinking about, I guess, your regulatory pathways to spreading this out, and more broadly, I guess how should we be thinking about the total rate increases you're targeting, i.e., is there a double-digit guardrail here? Thanks.
Robert Durian: Yeah, thanks Shar. This is Robert. So think of those will be separate proceedings. So we'll go through the process with the 2022 fuel costs, validating the prudency of those costs. And then most likely starting maybe even later this year, the recovery process of those costs. Regarding the rate case in Wisconsin, think of that as a separate process. Most likely, we'll file that sometime in early second quarter. And we'll be identifying what those recoveries for really, what I would say is very transparent rate base additions that we've been signaling to the commission for some time. That rate case is largely going be centered around the solar projects, the 1,100 megawatts that they've been talking about, especially moving from tax equity to full ownership. So that on top of the battery projects that I mentioned in my prepared remarks, are going to be the key rate base drivers. And so that is going to be well transparent with the commission and we think that will go over pretty well. As far as the increases for customers' bills, we're targeting single-digit percentages for 2024 and 2025 when you factor in all of those pieces, including what we see is some nice benefits, as far as fuel cost reductions from those solar projects will be putting into service as well as the tax benefits.
Shahriar Pourreza: Okay, perfect. The last point was what I was trying to get at. And then just I guess, maybe a familiar question at this point, but any sort of incremental clarity or thoughts on how we should be thinking about the equity needs post 2023, as you work through the cash flow impacts of the IRA? And are you still targeting roughly $100 million to $200 million of cash flow benefits from the ITC PTCs?
John Larsen: Yeah. I think you've got the number right, Shar on the -- on the IRA benefits. So, I think that's -- it really hasn't changed a whole lot. The one thing I'd add is, given our continued focus on solar and renewables, we do think we'll be one of the early adopters and beneficiaries of the IRA with the projects we have in flight right now.
Shahriar Pourreza: Okay, perfect. That was nice and simple. Appreciate it, guys.
John Larsen: Yeah. Thanks, Shar.
Operator: Thank you. Your next question comes from the line of Julien Dumoulin-Smith from Bank of America. Please go ahead.
Julien Dumoulin-Smith: Hey, good morning to you. Hope you guys are well. Thank you for the time. Appreciate it. Perhaps just picking up where Shar left off, just a little bit further if I can for the sake of it. On Columbia and the fuel situation there, how are you managing that impact on Wisconsin rate payers, and perhaps more specifically, how are you managing coal supplies today considering the backdrop? Just sort of where do we stand today? I mean, are we largely through some of these issues or what's the latest, if you will?
John Larsen: Yeah. Maybe I'll take the coal supply part. We've done a lot of work on a number of fronts in 2022, Shar, and even a bit ahead of that on the coal supply. So, we feel in very good shape as we go forward on the coal supply and maybe I'll let Robert if you want to talk a little bit about -- more on the fuel part.
Robert Durian: Yeah, Julien, thank you for that. We're looking at a bunch of different options right now as far as spreading those fuel cost recoveries over multiple years, really to help as I indicated before, manage the customer bills to reasonable levels as far as increases over the next couple of years.
Julien Dumoulin-Smith: Got it. Okay. Fair enough. I appreciate. Just talk to us a little bit about the core challenge, the decision to create kind of a parallel pathway here in pursuing some degree of certainty on that construct, if you will, just the strategy, right? Typically, we see these kinds of more nuanced issues continue to remain within the confines of regulatory processes. Maybe that's the way I'd frame it.
Robert Durian: Yeah, when we think about how we're approaching that or maybe talk a little bit about the procedures that we have been through since the last time we talked in the -- in the third quarter call. So, in December of 2022, the IUB did grant us the authority to move -- basically reconsider the 200 megawatts of solar at the Duane Arnold sites. But they did not allow us to reconsider the second 200 megawatts of solar. Really what they were looking for there is some more specific details on the location of the projects that hadn't been identified yet. And so when we took the opportunity then in January to do is provide all the information the IUB was requesting, including evidence that now demonstrates a pretty comprehensive record that shows that our projects are the most cost effective and reasonable solutions for the customers, when you compare them to some of the other alternative sources of supply that are available. As part of that process, we really didn't have a pathway forward for the second 200 megawatts of solar or 75 megawatts of battery. So we filed a judicial review to allow us to move that forward, and continue to progress that as far as the opportunity for the advance remaking principles. So as part of kind of the most recent developments with that earlier this week, the IUB issued an order really causing the decision to let the traditional process to move forward, and we expect the IUB -- we'll be making a filing or filing some information with the courts, most likely by the first part of March and after which, then we'll most likely be making some -- also some filings on that. And I kind of think of these, as all procedural steps to really allow us to continue to move forward with the process to be able to get those advanced banking principles. I think it's really important for us to highlight that we remain committed to these projects. We think they're great projects for our customers and they're very cost effective. So we're confident in our ability to move forward with them, but we have to go through these procedural steps to really allow us the opportunity to have those advanced rate purchases.
Julien Dumoulin-Smith: Awesome. Alright, thank you, guys, very much. And then just quickly next rate case in Iowa, just how does it fit in here, if you will, if there's any consideration around that?
John Larsen: Yes, Julien, we signaled by the first half of 2024. But think of it as the timing with the next rate case is going to be about our next CapEx that we have, and Robert talked about that with solar. Right now, the current schedule of those solar projects are in service by end of 2024. So if you think of those as tied together, but we'll tighten up that time frame as the year progresses.
Julien Dumoulin-Smith: Excellent guys. Thank you. Good luck, alright. Thank you for the time.
John Larsen: Yeah. Thanks, Julien.
Operator: Thank you. Your next question comes from the line of Nicholas Campanella from Credit Suisse. Please go ahead.
Nicholas Campanella: Hey, everyone. Good morning. Thanks for taking my question. Happy Friday. So can you just -- I just wanted to tie off the calendar here. Can you just give us a sense of how long the judicial process lasts before the advanced ratemaking docket will resume, essentially?
Robert Durian: Yes. Nick, this is Robert. So there's no definitive time frame regarding the judicial process, but we have asked for expedited review is how I'd characterize it. Largely because as we continue to move forward with these projects, like a lot of the other utilities, we are seeing costs continue to increase. So we have a desire to try and get these in, as soon as possible to make them as cost effective as possible for our customers. But there is no definitive time frame, but we'll be continuing to work closely with both the IUB as well as the judicial process to try and get these done as quickly as possible.
Nicholas Campanella: Got it. And obviously, you have a long history of these RPUs providing solid returns for your renewables investments. I guess just if you were to kind of pursue a plan where you're moving some of these new investments more into that retail base rate in a traditional -- in a more kind of traditional rate filing. Is the midpoint of your long-term guidance for 6% still achievable on that strategy? Just trying to understand if it's a headwind or not. Thank you.
John Larsen: Yeah Nick, John here. And we're still very confident in our 5% to 7% in midpoint.
Nicholas Campanella: Great. And then just one last one for me, is just with all the attention on deferred fuel and as we kind of progress through recovery, have you quantified how much of a drag that is on your credit currently and what the improvement could be?
Robert Durian: Yes. Nick, when we look at, I'll say, AEC as an entire company, specifically at the FFO to debt metric, we are slightly below the targeted level for AEC, largely because of the timing of those fuel cost recoveries, as well as some additional solar construction costs. We incurred financing on, in 2022 as a result of pivoting away from a tax equity partnership to full ownership. . We expect those credit metrics to improve materially when you look out about 12 months. As we begin to recover those fuel costs as well as we get to the next rate case in Wisconsin where we'll start recovering those additional solar costs as well. So we feel very confident about the ability, like I said, within the next 12 month window to be able to improve those metrics. We're also cautiously optimistic that as early as 2023, we might be able to start realizing the benefits of our tax credits that have available to be sold now into the market as a result of the IRA. So a lot of positive developments we see over the next 12 months when it comes to those credit metrics.
Nicholas Campanella: Thanks for the time today.
Operator: Thank you. Your next question comes from the line of Andrew Weisel from Scotiabank. Please go ahead.
Andrew Weisel: Hey, good morning, everybody.
John Larsen: Hey, Andrew.
Andrew Weisel: [Technical Difficulty] you can see then rate-making process is done. If so, can the ROE be modified during or after construction or will the construction not begin until that's resolved?
Robert Durian: Yes, Andrew, I would think of it, as we'll continue to work the process with the advanced rate making principles over the next few months. We still have a little bit of time, I would characterize to be able to get through that process, and not need to start those construction projects. But once we get to the second half of this year, I would expect that we'll be starting the construction. And hopefully, we'll have all of the RPU process that's completed, and get an answer from the IUB to support them.
Andrew Weisel: Okay. I guess what about the part about -- do the ROE need to be locked in, before construction? Or can that -- can the uncertainty continue during construction?
Robert Durian: No, we would expect that we'll be locking in the ROE before construction starts. We need to, like I said, follow those procedural steps to make that happen. But I don't think that we'll be starting that construction until we have better clarity on that.
Andrew Weisel: Okay. Very good. Then switching to Wisconsin. I know you're going to file in the next couple of months, second quarter of this year. Obviously, your neighbors saw some bumps in the road with their rate case last year. My question is, are you able to share any lessons learned from that or any changes to your approach? And do you think the settlement might still be possible or is that off the table?
John Larsen: Yes. Andrew, I'd say we're -- we feel well positioned for the filing that we have. So it really isn't a change for us. We've used what we call our Clean Energy Blueprint process to be very transparent on the projects that we'll have. And in fact, many of them have already been in front of the commission or vetted and very strong cost management. So we understand the balance with affordability. As far as settlement, it's certainly always a possibility as we think about filing. We're certainly well positioned, if we'll go through the entire process, but also see the opportunity for potential settlement along the way.
Andrew Weisel: Very good. Thank you so much.
Operator: Thank you. Your next question comes from the line of Alex Mortimer from Mizuho. Please go ahead.
Alexander Mortimer: Hi, good morning. Thank you very much. So, I know you mentioned the transfer of about $150 million of tax credits in 2023 and then eventually having that grow to somewhere around $200 million. I'm just curious what the growth trajectory of that looks like if that's a 2024, 2025 story or if there's sort of a later date that you're looking at the $200 million number for?
Robert Durian: Yeah Alex, this is Robert. So think of that $100 million to $200 million was identified as the 2023 number, which we picked the midpoint there of $150 million. As we complete the construction of the 1,100 megawatts of solar in Wisconsin, we continue to add up to 350 megawatts of new battery projects. Those tax credits actually get probably closer to $300 million to $400 million on an annual basis. And think of that over probably once you get to the 2025 time frame, you'll see those types of levels. So -- so that's what gives us a lot of optimism about future cash flow opportunities, when it comes to the transferability of these tax credits.
Alexander Mortimer: Okay, wonderful. And then, you mentioned FFO to debt target. Just what is the -- what's the amount you're targeting for that? And then sort of what's the timeline you're looking at getting there with all the tailwinds provided from the IRA?
Robert Durian: Yeah, right now for AEC, our consolidated group, think of that in that 14% to 15% range, and we expect to be at that point, like I said, in the next 12 months in that 2024 time frame.
Alexander Mortimer: Okay, thanks very much.
Operator: Thank you. Your next question comes from the line of Ashar Khan from Verition. Please go ahead.
Ashar Khan: Hi, I think some of my question has been answered, but if I can just summarize it. So by the time we come -- and hopefully, I'm sure you'll be able to do it, but if I can just put it in my notebook. So by the time we come to the second quarter call in end of July or early August, you're expecting some kind of resolution by the courts and IUB, on the advanced rate making process because that is when I guess you need to start construction. Is that a fair kind of like, time line by which this issue has to be resolved by?
Robert Durian: I think that's a reasonable estimation of the time line. When we think about the second half of 2023 and the start of construction, we're looking for the opportunity to get through all of the IUB and introduce a reuse by that point in time. We don't have complete control over that. But again, we're going to petition the fact that our expeditious review of this will really help support our customers and bring it in those cost-effective solutions for them quicker. So, I think your time frame is, generally speaking, a good one.
Ashar Khan: Okay. And then if I'm right, just I know I hope we don't get into this situation, but I think so you have said that, that if in case it doesn't go our way, you can then substitute that CapEx with something pretty quickly, something else in its place so the rate base growth and the earnings growth do not get harmed from the delay in the project or the cancellation of the project. Is that correct -- is that the correct assumption as well?
Robert Durian: Yeah. I would say there is a strong need for capacity when you think about as we project out and as part of our resource planning with the retirement of our Lansing coal plants here in the first half of 2023. We know we need additional resources. We think these are the best resource options for us. But if they're not supported by the process that we're going through, we do have other potential avenues for capacity resources that we'll need to put into place.
Ashar Khan: Okay. And my last thing if I may, I might not have heard it properly. So, what is the likely timing of the next Iowa rate case?
John Larsen: Yeah. What I had shared was, we'll communicate it by the first half of 2024. And again, as we noted, that's going to be tied to the final timing of our solar projects within IPL.
Ashar Khan: Okay, thank you so much.
Operator: Thank you. There are no further questions at this time. I would now turn the call back over to Ms. Susan Gille for closing remarks.
Susan Gille: This concludes Alliant Energy's fourth quarter and year-end earnings call. Thank you for your continued support of Alliant Energy and feel free to contact me with any follow-up questions.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask, that you please disconnect your lines. Have a lovely day.